Operator: Good Morning. My name is Andrew, and I will be your conference operator for today. At this time, I would like to welcome Everyone to the Knight-Swift Transportation Fourth Quarter 2024 Earnings Call. All lines have been placed on mute to prevent any background noise. [Operator Instructions] Speakers from today's call will be Adam Miller, Chief Executive Officer; Andrew Hess, Chief Financial Officer; and Brad Stewart, Treasurer and Senior VP of Investor Relations. Mr. Stewart, the meeting is now yours.
Brad Stewart: Thank you, Andrew. Good afternoon, everyone. Thank you for joining our fourth quarter 2024 earnings call. Today, we plan to discuss topics related to the results of the quarter, current market conditions, and our earnings guidance. We have slides to accompany this call, which are posted on our investor website. Our call is scheduled to last one hour. Following our commentary, we will answer questions related to these topics. In order to get to as many participants as possible, we limit the questions to one per participant. If you have a second question, please feel free to get back in the queue. We will answer as many questions as time allows. If we're not able to get to your questions due to time restrictions, you may call 602-606-6349. To begin, I will first refer you to the disclosures on Slide 2 of the presentation and note the following. This conference call and presentation may contain forward-looking statements made by the Company that involve risks, assumptions, and uncertainties that are difficult to predict. Investors are directed to the information contained in Item 1A, Risk Factors or Part 1 of the Company's annual report on Form 10-K filed with the United States SEC for a discussion of the risks that may affect the Company's future operating results. Actual results may differ. Before we get into the quarterly results, I'll hand the call over to Adam for some opening remarks.
Adam Miller: Thanks, Brad, and good afternoon, everyone. So as we close the book on 2024, we have more conviction that we are finally moving on from the prolonged down-cycle that has weighed on the freight transportation sector for nearly three years. 2024 was another very difficult year, but it also brought a stabilization in pricing, a return of seasonal patterns, a cooling of cost inflation, and a marketplace that gave more and more indications of approaching balance in the second half of the year. While the extended drop in freight rates alongside stiff inflation over much of the past three years has taken margins to unusual lows, we have not been waiting for the next up-cycle to prepare our business to produce significantly higher margins. We have deployed capital strategically via acquisitions to create more runway for growth and margin improvement in both Truckload and LTL. We have diligently trimmed costs in our businesses to mitigate margin pressure in the trough. We have sustained efforts to develop technologies that will help our business be more efficient and responsive to both opportunities and challenges created by a new cycle. We have taken advantage of unique opportunities to accelerate the organic expansion of our LTL network on our path to developing a valuable nationwide service offering. And we have worked to enhance our collaboration across service lines to capture more opportunities and drive more synergies. As customer needs become more increasingly acute and dynamic in an improving market, we believe these efforts, our leading truckload scale, and our diverse service offerings will position us to be an outside beneficiary in an improving market, particularly because our industry-leading one-way truckload exposure can be arguably the most commoditized service during loose markets, but become some of the most valuable capacity we offer in a tighter market. Now please turn to Slide 3. So with this perspective, for 2025, we have identified the following key levers that will help drive our near-term success. For Truckload, we will intentionally leverage our scale, suite of services, trailer network, and flexible over-the-road capacity in order to enhance our value proposition. For our customers, this means maximizing our capacity and agility towards creatively solving larger and more complex problems. For us, this means more market opportunities are captured and kept in-house, and that distinctive solutions are less commoditized. For LTL, while the past 18 months have been a period of significant investment to expand our network, the focus in 2025 will pivot to growing shipment count to drive margin expansion through revenue growth, freight mix upgrades, operational efficiency gains, and better cost absorption while maintaining price discipline. Our team has positioned the business well and we couldn't be more excited about the opportunities ahead of us in 2025. We will continue to be opportunistic regarding organic and inorganic opportunities to grow our network and business where the strategic fit is right, but we expect to be more selective in 2025, while we drive returns on the existing investment. For Logistics, we spent much of the down-cycle harmonizing our technology platform. As the market recovers, we will leverage this platform to sharpen how we value opportunities and buy capacity to enhance how we engage with carriers and to improve the efficiency of how we execute transactions. This business continues to be a great complement to our asset business as it augments our capabilities in a stronger market and it augments our freight opportunities in a weaker market. It also affords us the ability to better utilize our trailer assets to enhance returns through our power-only service. For Intermodal, we have been grinding on improving our volumes, cost structure, network balance and customer diversification and have made meaningful progress in a weak pricing environment. For 2025, our focus will be on gaining market share through the bid season to improve network balance and enhance asset efficiency on a path to profitability. And for our customers, we will continue our path towards developing a unique ability to service freight needs. With several large national truckload brands with unique networks and trailer capacity, we have the capabilities to solve acute challenges and support projects by leveraging capacity across our network. We are also refining our capabilities to leverage our national offering in both full Truckload and LTL to support our customers and our conviction on the synergy opportunities is just as great as it has ever been. And now I'll turn it over to Brad to kick off the overview of the quarter.
Brad Stewart: Thanks, Adam. The charts on Slide 4 compare our consolidated fourth quarter revenue and earnings results on a year-over-year basis. Revenue excluding fuel surcharge decreased slightly by 0.9% and our adjusted operating income improved by 127%, or $59.4 million year-over-year. GAAP earnings per diluted share for the fourth quarter of 2024 were $0.43 and our adjusted EPS was $0.36. Our consolidated adjusted operating ratio was 93.7%, which was 350 basis points better than the prior year and essentially flat sequentially. Our results were positively impacted on a year-over-year basis by our closure of the third-party insurance business in the first quarter, as this business generated a $71.7 million operating loss in the fourth quarter of the prior year. This positive impact was partially offset by a $6.5 million increase in net interest expense and a $5.4 million decrease in gain on sale year-over-year. Also, the effective tax rate on our non-GAAP results decreased 5.8 percentage points year-over-year. The effective tax rate for the fourth quarter came in lower than previously projected, primarily as a result of realizing greater discrete benefits upon filing our state returns and more favorable apportionment results than previously estimated. Additionally, our GAAP results included an $8.1 million impairment charge and a $36.6 million benefit for a mark-to-market adjustment related to certain purchase price obligations associated with the acquisition of U.S. Xpress, both of which are excluded from our non-GAAP results. Moving on to Slide 5. Slide 5 illustrates the revenue and adjusted operating income for each of our segments for the quarter. Overall, the fourth quarter showed the benefits of our diversified business model as sequential improvements in our Truckload and Logistics segments offset the seasonal slowdown in our all other segments and cost headwinds from the significant expansion in system integration in our LTL segment. The market in the fourth quarter largely played out as expected. Hurricane Celine and Milton disrupted freight volumes for the first half of October, particularly for our U.S. Xpress Truckload and AAA Cooper LTL brands based in the Southeast. Aside from this, some seasonal project activities and pockets of incremental demand for truckload services occurred through Black Friday and generally wound down in mid-December. Truckload freight market conditions have not been consistent across regions or across our various brands, but the fourth quarter brought more signs of a market that is getting healthier. We noted improved customer sentiment, seasonal spot rate progression, further capacity erosion, and early bid season activity that aligns with our outlook for contractual rate improvement. Also, the responses to weather disruptions thus far in early January are further signs that the marketplace is growing more balanced. While general demand levels in the LTL market faded a bit in recent months, pricing trends held strong, though industrial production has languished for some time. Our LTL business continues to achieve volume growth and steady rate improvement as we extend the reach of our network and capture new volumes, with this segment growing to represent 17% of our revenues in the quarter. Now, I will turn it over to Adam to discuss our Truckload segment on Slide 6.
Adam Miller: Thank you, Brad. On a year-over-year basis, our truckload revenue, excluding fuel surcharge for the fourth quarter decreased 4.4% as loaded miles declined 3.7% and revenue per loaded mile excluding fuel surcharge declined slightly by seven-tenths of a percent. However, our revenue excluding fuel surcharge per tractor grew 1.7% year-over-year as a 2.4% improvement in miles per tractor overcame the slight decline in revenue per loaded mile excluding fuel surcharge. This improvement in utilization marked six consecutive quarters of year-over-year gains in this metric. The improved asset utilization coupled with our cost-cutting initiatives led to a 170 basis point year-over-year improvement in adjusted operating ratio. On a sequential basis, revenue per loaded mile excluding fuel surcharge and miles per tractor each increased 1.1%, driven by seasonal project opportunities. The improvement in rate and progress on cost-cutting initiatives led to a 430 basis point sequential improvement in the adjusted operating ratio in our legacy truckload businesses and a 100 basis point improvement in -- sorry, 100 basis point improvement at U.S. Xpress. Our spot exposure remained relatively consistent with the third quarter and our average spot rate remained higher than our average contractual rates. Now on to Slide 7. On Slide 7, we cover our LTL segment. The LTL market saw slightly less supportive demand trends than Truckload for the fourth quarter, though pricing trends held strong. We are still experiencing shipment growth and steady rate increases in our business, partly aided by our expanding network that allows us to offer our services on more lanes to new and existing customers. Our LTL business grew revenue excluding fuel surcharge 20.2% year-over-year as shipments per day increased 13.3%, which includes our acquisition of DHE. Revenue per 100 weight excluding fuel surcharge increased 9.6% year-over-year. Our weight per shipment declined 2.8% year-over-year but inflected positively in Q4 compared to Q3. The adjusted operating ratio was 94.5%, and adjusted operating income declined 54.9% year-over-year due to startup costs and early-stage operations at our recently opened facilities, as well as the costs for the DHE system integration, which we completed just over three months after the acquisition. The cost to integrate DHE into our systems and network were higher as a result of the speed with which we sought to complete this initiative and for our efforts to avoid volume and service disruption in the transition. It took roughly 11 months to do a similar transition following the MME acquisition in 2021, and we wanted to complete the integration much faster in this case due to the strategic importance of adding the Southwest and particularly California to our network coverage. Our pace of expansion is also a headwind on margin as facility, startup, staffing and equipment positioning costs all occur before revenue ramps. The margin drag has proven greater than we anticipated, largely due to the scale of the change. With 51 locations and over 1,400 doors added in 2024 alone, this represents over 40% growth in locations and over 30% growth in doors for the year. Our significant network growth rate is a function of the unique opportunities in the marketplace to attain properties over the past 18 months, as well as our desire to extend the reach of our service offering as soon as we were able to in order to pursue volume in the corresponding coverage areas as bids are conducted. Further, some of the margin headwind came as we put a priority on maintaining service levels and onboarding new customers during the network expansion and the integration of DHE as a form of investment in customer satisfaction with an eye toward ongoing bid opportunities as we grow. We expect the majority of the DHE integration costs do not extend beyond the fourth quarter and that we will begin to make progress reducing the margin drag from the network expansion in the second quarter as bid season progress begins to be realized in our results. We are excited about the opportunities ahead of us, some of which have already begun to materialize. Now, I'll turn it over to Andrew for Slide 8.
Andrew Hess: Thanks, Adam. The logistics market saw spot rates improve early in the quarter with the hurricane import strike disruptions and this strength was generally sustained with a seasonal build through the quarter. This tightening of the market drove a 12.3% improvement in revenue per load year-over-year but put pressure on gross margins in advance of corresponding contractual pricing improvements. We maintained our disciplined approach to pricing, while growing revenue 17% and adjusted op income 34.6% sequentially. The adjusted operating ratio of 93.7% improved 80 basis points over the third quarter. Revenue increased 2.1% year-over-year as the increase in revenue per load offset a 9.9% decrease in load count. As discussed last quarter, the logistics market continues to see a number of shippers allocating more of their contractual business to asset-based providers. Historically, as truckload market -- as the truckload market tightens, we have seen our logistics business experience outsized growth, particularly due to the collaboration with our asset-based businesses, and we expect that trend to continue into 2025 as the market improves. We continue to leverage our power on the capabilities to complement our asset business, build a broader and more diversified freight portfolio, and to enhance the returns on our capital assets. Now on to Slide 9. Our Intermodal business posted a year-over-year increase in revenue for the second quarter in a row. Revenue increased 4.9%, driven by a 10.2% increase in load count, partially offset by a 4.8% decrease in revenue per load year-over-year. The improvement in volume and progress in operating costs overcame the decrease in revenue per load to improve the operating ratio by 320 basis points year-over-year. After getting off to a rough start with the recent hurricanes negatively impacting volumes early in the quarter, the monthly progression of volumes held up better than in the previous year. We remain focused on executing our strategy of diversifying our business mix, building density, reducing empty moves, and reducing cost. We expect ongoing progress in these areas should make this business profitable in 2025. Now on to Slide 10. Slide 10 illustrates our all other segments. This category includes support services provided to our customers, independent contractors, and third-party carriers such as equipment sales and rentals, equipment leasing, warehousing activities, insurance and maintenance. For the quarter, revenue declined 36.4% year-over-year, largely as a result of winding down our third-party insurance business in the first quarter. On a sequential basis, the decline in revenue and operating income reflected the typical seasonal patterns associated with our warehousing business. The $15.9 million operating loss within our other segments is primarily driven by the intangible amortization and also includes a loss in our warehousing business. Additionally, in the quarter, we successfully transferred the remaining risk from the third-party insurance business to another insurance company, similar to the transaction we executed in the first quarter. The cost of this transaction is included in these operating results. On Slide 11, we've outlined our guidance and key assumptions, which are also stated in the earnings release. Actual results may differ from our expectations. Because we anticipate a gradual recovery in market conditions in 2025, these adjusted EPS ranges reflect expected seasonality and a steady improvement in existing market conditions. Based on these assumptions, we expect our adjusted EPS for the first quarter of 2025 will be in the range of $0.29 to $0.33, and our adjusted EPS for the second quarter of 2025 will be in the range of $0.46 to $0.50. The key assumptions underpinning this guidance are listed on this slide, but I won't cover that in detail. In summary, we project Truckload operating income to decline sequentially into the first quarter in keeping with normal seasonality, though we anticipate that the accretive decline will be mitigated by contractual pricing improvements through bid activity. Thereafter, we expect seasonal improvement in truckload volumes and utilization as well as rate progress through bid season. We'll lift earnings in the second quarter. For LTL, we expect seasonal improvement and a lack of system integration costs to lead to a sequential improvement in earnings in the first quarter. Seasonal trends and progress in growing volumes should further drive earnings and margin growth in the second quarter. I want to point out that while our expectations for the earnings in all other segments is lower than what we previously projected, we are also reflecting in this guide a change in the cadence of the quarterly revenue and income profile in our warehouse business, which will bring a smoother allocation of earnings across the full year. This concludes our prepared remarks. And before I turn it over for questions, I want to remind everyone to keep it to one question per participant.
Brad Stewart: Thank you, Andrew. We will now open the line for question.
Operator: Your first question is from Tom Wadewitz from UBS. Please go ahead.
Tom Wadewitz: Yes. Good afternoon. I wanted to see if you could maybe offer a little more perspective on some of the key assumptions. It's a pretty meaningful move up in 2Q versus 1Q. Is there kind of a kind of greater traction on LTL because more of the costs fall out? Or is that more 1Q versus 4Q? And then I guess in terms of just how much pricing do you expect and how much lift in 2Q from the view on contract rates. So I think really just some more perspective on what's assumed in the 2Q guide? Thank you.
Adam Miller: Yes. Sure, Tom. I'll touch on that, and if Brad and Andrew have anything to add, feel free to jump in here. I won't go into great detail here, but I think when we think about the lift from Q1 to Q2, I think it's just normal seasonality on the truckload business from Q1 to Q2, and just building a little bit more momentum in the market. And we're expecting the bid season to be favorable from a contractual rate standpoint. And so we'd expect some of those rate increases to begin to be implemented in Q2 and that should translate to an improvement in the operating ratio really across all of our truckload businesses. And then you hit it as well on the LTL front. Q1 will be largely improved because we're kind of putting the DHE integration costs behind us, but we also expect to build some momentum through the bid season on building more volume density in our newer facilities, which should lead to a greater shipment count, greater optimization of our line-haul fleet for LTL and expanded margins. And so I think we're seeing a step-up in margins from Q1 to Q2 for the LTL business. And then really Logistics to be relatively stable from Q1 to Q2, maybe you've seen a lift from a revenue standpoint. And then Intermodal, we talked about the path to profitability in Intermodal, and our expectation is we start to see that turn positive from a margin standpoint in Q2. So I think all of those are contributing to the step-up in the earnings from Q1 to Q2, Tom.
Tom Wadewitz: So it sounds like kind of normal seasonality for Truckload and Logistics, but maybe stronger than normal seasonality in LTL. Is that a fair understanding?
Adam Miller: Yes. I think there's some self-help on the LTL front because of the expectation of growing volume in our newer facilities, but also really leveraging, having DHE now integrated into our network and what can come from having access to the California markets.
Tom Wadewitz: Right. Okay, great. Thank you.
Adam Miller: All right. Thanks, Tom.
Operator: Your next question is from Ken Hoexter from Bank of America. Please go ahead.
Ken Hoexter: Hey, great. Good afternoon. So, Adam, it sounds like a lot of moving parts here, but maybe just dig into the truckload. It sounds like you're talking about maybe seeing benefits earlier in the season, maybe even an early bid season, and that's giving you some confidence. Can you talk about maybe -- are you seeing kind of many bids come early? Are you -- is there -- was it more on the bid side, or is it kind of the structural cost steps you were taking? Maybe just delve into both those ends of it.
Adam Miller: Yes, it's going to be improvement across all of those areas, Ken. There is not really one silver bullet here. As I was noting on the bid season, it's really following its normal pattern. I don't think it's moving any sooner than it normally would. I think what I would touch on is just the early wins we're seeing or the early indications we're seeing from the bid season is that our customers understand that rates most likely are heading up. There may be a few that maybe disagree with that view, but from the awards we've received, the rates have been trending positive. Last conference call, we mentioned our thought would be that the rates would start up in the low to mid-single digits build to mid-single digits as the bid season progresses, and maybe could end at the mid-to-high single-digit range. I think at this point now, we're kind of transitioning to that mid-single-digit ask from a bid standpoint. And we have maybe a few of our brands or at least at least one of them that's starting at a lower point and so there ask maybe even higher than that. So I feel like we are gaining some momentum there and it's not going to be a large inflection. It will just be a just a kind of a grind or just a slow progression in terms of margin improvement. But it's going to come from making just meaningful progress, or just making some incremental progress on rate and then keeping the cost disciplines in the business. We talked last quarter about wanting to maintain our operating cost per mile on a year-over-year basis. And so if you have a market that's improving, you may have some areas of inflation such as driver pay, but you got to offset that, and that can come from improvements in other areas of business. It could come from just better productivity on the equipment. But again, it's got to be improvement in a host of areas to be able to achieve what we're hoping to achieve. But we do believe that seasonality from Q1 to Q2 is intact and we expect it to begin to improve even further in the back half of the year. I think, Andrew, you may have some to add.
Andrew Hess: Hey, hey, Ken. So I would say, as we leave Q4 here, we've made some good progress in the quarter, really in the back half of the year on cost. We've been working hard both on our variable and fixed costs. We're fairly encouraged that as we look into 2025 that that's going to give us some real leverage in our margins and I think you're seeing that in our guide here for 2025. So we've made a lot of progress. We talked about our utilization has been better year-over-year sequentially or better year-over-year six quarters in a row. That's really playing out in terms of the flow-through to our costs. So equipment costs are really -- we're pretty encouraged by the progress we've made in our wages, in our fuel, in our maintenance costs, and really our overhead costs are substantially down. That's going to help us as we go into 2025 and be able to expand that margin quicker. So we do think the carry-forward of the cost work we've been doing into 2025 is going to give us that confidence that it contributes to our margin expansion.
Ken Hoexter: Great. Appreciate the time. Thank you, guys.
Adam Miller: All right. Thanks, Ken.
Operator: Your next question is from Ravi Shanker from Morgan Stanley. Please go ahead.
Ravi Shanker: Thanks. Good afternoon, guys. So I'm very clear that you guys are pointing to the guidance reflecting normal seasonality, but I think with the ramp-in some of the data points, whether it's our [indiscernible] index or the truck spot rates you've seen in November, December into January, I think it seems like it's much better than seasonality. So is there some reason to believe that the strength you've seen in the last kind of six, eight weeks or so is not sustainable and like maybe there's not enough of a tariff-related pre-buy, and do you expect that to wind down? Or do you think that this seasonal -- kind of this -- kind of extra seasonal strength can continue and you can actually put up a better print than you guys did -- that you guys are guiding to?
Adam Miller: Yes. I think it's still hard to draw sweeping conclusions from the data from the last several weeks. Ravi, I think it's just too soon to do that. When we look at the turn from 2024 to 2025, as you go into the first quarter, sometimes that can be telling on where the market is going to land. And to be honest, the last few weeks have been really hard to read through because of the disruption from the weather. We saw that the first week of January, then we saw probably a nice rebound, which you're seeing in some of the third-party data out there you're referring to. I expect this week to feel some challenges as well with the weather that we're feeling in the Southeast. So I think we need a little bit more time to see how 2025 begins to materialize to determine if we feel like there's more strength than what we're seeing today. But right now, we're trying to set our guidance in what we believe is achievable based on where we see the market right now. And if we see continued strength, then certainly there's upside, but we're not -- we're not banking on that at the moment. And we look at all the data that you would look at. I mean, we track rejections from an industry standpoint and that's certainly been up and we would see something similar in our own business. From a capacity standpoint, it does seem like there are less trucks available when you look at the different load boards that are out there. But I think it's too soon to call that any type of meaningful inflection. I think we need to see more sustained data like that before we get more aggressive on our view on the market.
Ravi Shanker: Understood. Thank you.
Operator: Your next question is from Scott Group from Wolfe Research. Please go ahead.
Scott Group: Hey, thanks. Good afternoon, guys. So maybe a different way to approach that last question, right? If you look, Truckload revenue actually fell about $10 million from third quarter to fourth quarter, but Truckload earnings improved nearly $40 million. So obviously, that's really strong, but like how does -- some color like how does that actually happen? How sustainable is that sort of trend? And what do you think that means for like ultimately where Truckload margins can go over the course of the year, over the course of the cycle? And then maybe just -- I have one just big-picture question. I just want to make sure I'm understanding. Adam, when you laid out the priorities for 2025, I think you said like industry-leading truckload yields, and then you said Intermodal focused on market share. Why the different approaches to the market where one is about price and one is about share? Thank you.
Adam Miller: I'll try to unpack the four questions you laid out there, Scott. So forgive me if I missed one here. I think the first question was just revenue declining sequentially, but margins improving. I think there is a couple of pieces of that. Certainly, in the fourth quarter, you're going to have disruptions that naturally occur from the holidays so your Thanksgiving, Christmas on a Wednesday isn't ideal. And so you'll see a drop in your productivity of your assets over those periods of times, which usually leads to -- there's a risk that you have a step-down in revenue there. But we did see yield improve over that period of -- from third to fourth and from a pricing standpoint, and then we made -- we continue to make progress on the cost side of our business. And so ultimately, that's what led to the improvement in the margin. And when we think about our approach, Truckload versus Intermodal, we're not opposed to growing Truckload. We certainly want to grow volume and we believe that we have an opportunity to do so. But I don't think that it has to be the major driver to become more profitable in Truckload. I think there's going to be opportunity to pick up rate and for us to still have opportunities to manage our costs. But if there's market share to pick up, we certainly will. On the Intermodal front, we still have so much latent capacity from a turn standpoint on our containers where we do need to grow market share there. We do need to grow the volume there to compete from an overall margin standpoint with the better players out there in the market. So pricing volume are all important for each of our business, but I think it's a bigger lever than Intermodal today given where we stand from a competitive standpoint and from a fixed cost standpoint, where on the Truckload side, I think it really pricing may be the bigger lever while we still maintain cost disciplines.
Scott Group: Helpful. Thank you, guys. I appreciate.
Adam Miller: Is that getting off-shot? All right.
Scott Group: You got them all. Thank you, Adam.
Operator: Your next question is from Chris Wetherbee from Wells Fargo. Please go ahead.
Chris Wetherbee: Hey, thanks. Good afternoon, guys. Maybe I could pick up on that sort of cost dynamic in the Truckload side. It looked like there was some pretty good improvement on OpEx per mile on a year-over-year basis, also it looked like sequentially. So I guess as you think about 2025, kind of curious how you think about the opportunity from here to further improve that. Obviously, hopeful that -- we're hopeful that the revenue environment will get better as well, but a lot of the stuff that you're controlling or can control, you're doing a good job on. And I guess in the context of the comments you made about getting the legacy businesses back into the 80s after, I think, seven quarters or so, it seems like you're doing that at a pretty meaningfully lower revenue per mile than where we were at that point. So I guess I'm just trying to make sure we're capturing what the opportunity from a margin perspective of the business is as we move through this next cycle given the cost control you're doing.
Adam Miller: So, Chris, maybe I'll have Andrew jump in on the first part of your question on the cost for 2025, and then I can add any color if I need to.
Andrew Hess: Hey, there's a number of factors involved here in the cost initiatives we've been driving in the business. Let me just address a few. We've made a lot of improvements in our utilization of our assets, both on the trailer and the tractor side, yet we believe there's a lot of runway ahead of us in this regard. We were able to put a lot -- in our view, a lot more miles on our equipment than we are doing now. So what gives us confidence in the sustainability of that, we feel like there's a lot of future utilization improvement well ahead of us here. That is a major contributor. We have made significant reductions in our overhead costs. Those are permanent in our view. We've reset our business and our fixed costs and we continue to do so in a way that is not going to put pressure on that cost in our view to increase as load volume increases. We've implemented productivity, processes, and tools that allows us to operate at a lower fixed cost. And you're starting to see that. We've been working on that all year and you're starting to see that come through our results here in the third and fourth quarter. And when you get into an environment like this, where there is so little margin of error, we've had to become -- we've had to refine our ability to manage our variable costs. So our key variable costs of maintenance and fuel and our driver managing wisely in our driver pay, those costs -- we have stronger processes now than we've had in years. And so fundamentally, we've sharpened our process, our focus on cost management in a way that is fundamentally how we operate. But certainly, this market has caused us to become even more focused on it. So when we think about 2025, we don't see any reason why any of those initiatives we've driven will revert on us. So we're going to continue to put pressure to manage our costs down, and so we think that gives us confidence about the margin expansion expectations of our business.
Adam Miller: And Chris, you asked about where margins can go. We believe we can get back to how we typically performed on the truckload side throughout cycles where in the very best times when you're over-the-road kind of full truckload capacity, that's the regular route is the most valued mean -- which is really where we're still invested in where many of our peers, many people in the market have moved away from that, that can operate in the upper 70s from an or standpoint. And I don't see a reason why that can't be between all of our major brands, Knight, Swift, and U.S. Xpress. Now in a kind of normalized market, which I don't think we're at yet, I think maybe that might be the case in 2026 is operating in that mid 80s range, and then in a more difficult environment, you're in that upper 80s. I mean really that's how we would see kind of the normal cycle playing out. Now obviously, this last cycle was the highs were much higher than the lows much low. I don't see -- I don't expect to see that same type of volatility, but I see us getting back to kind of how we've operated this business historically. And that's just on the Truckload side.
Chris Wetherbee: Very helpful.
Adam Miller: Yes. On the LTL side, we don't see that being as volatile, right? Our goal is to make -- to grow this business but make incremental improvement in the operating ratio year after year just like others in this space who really were building out their nationwide network have done. 2024 was a big investment year for us. It was an opportunity we just couldn't pass up to be able to pick up a lot of new properties and also an acquisition that really gave us access to the Southwest. So put more pressure on the margin than we would like, but hey, we would do it all over again because we feel like it really puts us in a great position going into this bid season and from a long-term standpoint, building out a real solid nationwide network that has good margins.
Chris Wetherbee: Helpful color, guys. Thank you.
Adam Miller: Yes.
Operator: Your next question is from Jon Chappell from Evercore ISI. Please go ahead.
Jon Chappell: Thank you. Thanks for that last answer, Adam and Andrew. If you could just take that one step further then as it relates to Intermodal and Logistics. It sounds like you've done a lot of initiatives that you can control, you think, Andrew, through-cycle. But the logistics and the Intermodal business is just different, whether it's the imbalances or the overcapacity, the cutthroat competition in logistics. Or are you implementing the same types of things in those business lines where you can see kind of how Adam laid out the TL -- maybe the LTL aspirations at the strong part of the cycle, you can see the same type of move-in those other two businesses.
Adam Miller: Well, I'll touch on Logistics. So when I look at our Logistics business, it's very much complementary to our Truckload business. And so when the market is strong from a demand standpoint, we see so much flow through of those loads to our logistics business. And because we have the trailer network to leverage, our customers would benefit from pulling in third-party capacity but also having trailer pools and the efficiency that comes with trailer pools, again, when the irregular route capacity is very valued. And so that's why we believe as the market strengthens, the Logistics business is positioned to have outsized growth. Now conversely, when the market loosens or becomes there's more supply out there than demand, will we shift more of that volume from Logistics to our Truckload business to support the Truckload business where we have capital assets and you have drivers counting on the paychecks. So our Logistics could be a little bit more volatile than just your standalone non-asset logistics business would, but we have price discipline and that comes from being part of an asset-based business and we always maintain profitability. Now the or does move in different environments, but we maintain profitability throughout the cycles, and we would continue to do that. And hey, with the U.S. Xpress acquisition, that Logistics business has done really well. We were harmonizing the platform that we use between all of our Logistics brands. And I think that gives us more continuity on sharing loads, sharing opportunities, buying effectively, vetting the right carriers. And so we're bullish on Logistics when Truckload is healthy. And I think that's -- that bodes well for us and also really supports our customer. On the Intermodal front, that operates a bit differently. There's not as much overflow from Truckload business to Intermodal because it's a different lane, typically a different price point. And so that's a business where we really enjoy, I think, better partnerships with the rail partners we work with and we have contracts that allow us to be a little bit more nimble as we navigate markets. And we were in a tough spot a year and a half ago, and so we've had to kind of dig out of that. And part of that was you had to get a certain amount of scale from a low count standpoint and we're still not quite where I want to be and then you have to get the right revenue per load to really get the right earnings for the business. So I think we've made progress in both fronts, but we need continued progress, both on building the density to get the right turns on the containers, but then ensuring that we have the right revenue per load. And as the truckload market rates begin to improve, typically you'll see Intermodal rates begin to follow, and we're already starting to see that.
Jon Chappell: Got it. Thank you, Adam
Andrew Hess: I will add on -- maybe I just add a comment on Intermodal a little bit. We think we're structurally set up in a much better position than we've ever been. Let me address that in a couple of ways. First, we feel really good about the book of customers we've built. It's a diversified group that we believe can provide a long-term framework for us to grow. And you're seeing our -- the escalation of our growth rates, 10% growth rate and we've guided to some I think what we would say is some pretty healthy numbers for first quarter and second quarter in growth. We think pricing will be good, but the volume growth is going to help that business a lot. The second is I think from a network perspective, we are better organized, more efficient now that it's going to allow us to allow that volume to come into our network and produce the bottom-line margin that comes out of it. So we've been building towards this profitability as a first step in this business. We feel like 2025 is going to be that year, and that's not where we want to end. We want to be with our -- the best in the industry and our Intermodal margins, but we believe 2025 is going to be a big step forward on that path.
Jon Chappell: Okay. I appreciate it. Thanks, Andrew.
Operator: Your next question is from Daniel Imbro from Stephens Inc. Please go ahead.
Daniel Imbro: Yes. Hey, good evening, everybody. Thanks for taking the questions. Maybe to follow up on an earlier pricing strategy question. So on the LTL side, you guys are clearly growing tonnage faster than peers. I guess, how are you balancing yields versus shipment growth or tonnage growth? Yields were up almost 10% ex-fuel in the quarter, but it does sound like, Adam, you need to add volume to leverage the rooftops you did. So how do you strike that balance? And are you seeing any positive indicators that underlying market growth has at least stabilized, or is improving at all out there? Thanks.
Adam Miller: Yes. Again, I mean, you're always trying to strike the right balance between volume and yield, right, and you may look at different markets differently depending on what your need is. When you open up a new facility, you kind of start off with volume coming from the 3PLs because you typically have API connections that allows you to start to flow business through those terminals. And that may not be the highest-yield business to start, but it gives you a nice starting point to start to flow freight through those terminals. And then as you work through the more national bids, you start to build greater density and that's where you probably have an opportunity to get a business that's kind of priced more towards the market and where you want to be. So the way we look at it is pricing still trends in that mid-single-digit increases as we do renewals in LTL, and we want to remain disciplined there. But I think just indications from the customers that we have existing in our network is that when the bids come out and now we have new territories that we can serve, they're very interested and they have a great desire to get us into those areas. And we've already had some commitments that haven't been implemented yet but will be implemented kind of late first quarter into second quarter. We have a lot of interest in the DHE business. We actually, had to kind of slow it a little bit just to make sure the integration was done effectively. So we don't -- we have no plans to discount our pricing to win volume. We want to remain disciplined and we think we're priced very fairly. If you look at the [indiscernible] survey, I think our pricing does look very favorable to most. So I think we have an opportunity to maintain disciplined pricing and grow the volume that we need to really start to gain some traction and to start to optimize some of these new terminals that we've opened up.
Daniel Imbro: Thanks.
Operator: Your next question is from David Hicks from Raymond James. Please go ahead.
David Hicks: Hi, guys. Thanks for taking the question. I wanted to hit on the LTL segment as well. Particularly around your growth into the Northeast to kind of fill out the national network, we've heard some commentary on some deals taking place among regional LTLs in that region, kind of expanding on their own with some overlap into your existing geographies. Is that kind of limit the acquisition targets in the region given kind of more of a need to divest assets if you were to go after those, and kind of make you more prone to grow via select terminal expansion and kind of gradually expand into the region as opposed to a platform and M&A deal that we've seen with dependable?
Adam Miller: Yes. Look, I don't think we want to go into great detail on specific targets. I think we look at the Northeast as we have -- we have a couple of options there. I mean, we could go an approach of organic completely in there. It will take us probably longer to do so, but that's certainly an option that we could explore and is certainly actionable. There are -- we believe there is a pathway from an M&A standpoint to at least get a nice foothold in the Northeast. And yes, we don't -- overlap isn't the ideal, but it's not the end of the world if you have to make some adjustments because of overlap. I don't think that would prevent us from moving on a partnership with a company out there that really helps us gain a strong foothold in the Northeast. And then, hey, after you do -- if you do a deal, you may still have some organic growth beyond that, or there could even be another smaller deal you tuck in. You kind of -- we have a couple of different pathways that we would look for. Right now, we have a lot that we're digesting with DHE and the new facilities. Certainly, we know the Northeast is the kind of the next big area to take on. But right now, we're working on optimizing what we currently have. And hey, when we get to a point where we think it makes sense to start exploring what those options could be, then we'll do so. But right now, we still feel like we have several options on a pathway to building out to the Northeast.
David Hicks: Awesome. Thanks, Adam.
Operator: Your next question is from Brian Ossenbeck from J.P. Morgan. Please go ahead.
Brian Ossenbeck: Hey, guys, good afternoon. Adam, I just wanted to get an update maybe on U.S. Xpress. I know it's part of the entire segment, but you did mention it a couple of times didn't improve as much sequentially in terms of margins. It sounds like it's still below market and below the other businesses from a rate perspective. So is that something where you have some outsized gains when we do see a recovery? Is there anything else you can do from a, I don't know, footprint perspective operationally? And just on that point, a quick follow-up. The gain on sale looks like it's ramping up this quarter and into the next couple. Is that anything you're doing adjusting trailers or equipment, or is that a call on used truck pricing? Maybe some comments to help understand that also be helpful. Thank you.
Adam Miller: Yes. Okay. All right. Let me touch on those and I may hit on the market side for U.S. Xpress, and I think Andrew may touch on some of the cost initiatives that we have continuing -- that's ongoing there. With U.S. Xpress, we've done an overhaul of their network, and so that's really changed the type of freight that we're hauling and the length of haul and the rate per mile. And hey, that's not easy to go through, and we went through that pretty rapidly. So we now have a terminal network, U.S. Xpress of 11 locations. I think total also has a few locations as well. And that's led to a shorter length of haul, but a higher revenue per mile. And we feel like we have then to build good density and it's good lanes for drivers and that can lead to profitable trucks, but also a good driving job with more consistency, more home time. And so we've kind of gone through that evolution without any help from the market in terms of the ability to move pricing up, although rates have gone up through this process. And so, when we look at the bid season and starting to build some momentum, I'd say largely with U.S. Xpress, we're going to start probably at a lower point than some of our other brands. And so in many cases, we'll plan to target a higher percentage increase even though the absolute number may still be shy of where we see the market with other brands. But I think we'll be able to build or some -- gain some more ground than others in the space because of where the starting point is. That team has been doing everything it can to grind through just improving costs, improving margins. I think we had some momentum here in the fourth quarter, but there were some cost headwinds, some pickup in insurance expense that set us back a little bit from making similar type progress that we saw in the legacy business. But really, there's nothing there that I feel like that would prevent us from eventually becoming in parity in terms of the margin profile between U.S. Xpress and the rest of our large truckload businesses. And Andrew, I don't know if you want to touch on some of the cost initiatives we still have ongoing.
Andrew Hess: Yes. Maybe just kind of unpack that a little bit to help you understand. So if you look at the -- you think about that business is Logistics dedicated in OTR. So just talk about the OTR business. So since the acquisition occurred, our operating ratio in the OTR business has improved somewhere in the range of 700 basis points. So it's been a lot of progress made, and in context, probably in the industry, ORs have probably increased 500% amongst peers in the same period. So versus the field, there's been a lot of progress there made. And from a cost synergy perspective, the last number I saw was north of $180 million annualized. And so a lot of those costs are -- will be a lot of progress on cost. There's a lot more to go because the costs that we're going to benefit -- see now are going to be a function of some of the more difficult structural things that we're putting in place. So as I look at the business go forward, I would focus you on five things that are key in our strategy for U.S. Xpress. First, we're going to bring market rates up as the market allows. We have a lot of opportunity there, as Adam alluded to. Second, we're going to increase our seated truck count. We believe there's a lot of opportunity to do that, and we're well underway in terms of building blocks for that. Third is we're going to build our dedicated fleet. We -- that is a business that's operating well. It is operating on parity with our legacy dedicated business from an OR perspective, and we believe it has an opportunity for growth. And so we're going to see that grow as well. Fourth, we're going to build on the safety culture. Let me mention that, that in the fourth quarter, we had development on a couple of reserves that we view as quite unusual that we don't think will repeat. That had about a 250 basis point impact on the U.S. Xpress operating ratio in the quarter. So we believe that as we continue to work on safety and build the right culture around safety that is going to be a real advantage in costs. And the fifth is we got to work through on the equipment side. That business is carrying a lot of high-cost equipment leases that over time will be able to replace with more favorable price equipment based on the CapEx model we apply in our legacy businesses. So all of those strategies together give us confidence that we guided, we're going to be profitable in 2025 and start working to close the gap from an OR perspective to our legacy businesses.
Adam Miller: And Brian, just to hit on the last question on gain on sale. We've gone through a big initiative to really right-size our trailer detractor ratio and that's ongoing. And as you pull some of these trailers out that call it a little long in the tooth, not a lot of book value there, but there's better -- some healthier gains when you're able to sell those. And we've seen that some momentum build there. We've been able to work through quite a bit of inventory that we've pulled out over the last several quarters. And so I think that's one of the factors and why we've seen a little bit more momentum on the gain on sale front.
Brian Ossenbeck: All right. Appreciate all the details. Thank you, guys.
Operator: Your next question is from Bascome Majors from Susquehanna. Please go ahead.
Bascome Majors: Can you talk a little bit about your free cash flow expectations for the year, and what you see the opportunities as between expanding the LTL network, or opportunistic TL acquisitions, or just ploughing that into buyback? Thank you.
Adam Miller: We'll let Brad get into this one here. He is the money guy.
Brad Stewart: Yes. Thanks, Adam. Hey, Bascome. So, look, it's tough to answer a question about free cash flow for the year when we're not guiding to the earnings basis for the year. But we are certainly pointing to a stronger start to the year and our outlook includes one that says we think there's going to be a steady gradual improvement. So we do expect meaningful improvements in our earnings this year and therefore meaningful improvement in our free cash flow. You saw the CapEx guide that we gave that's a manageable number relative to the size of this business. I think we've made some conservative assumptions there. It's basically, the larger majority of that is maintenance CapEx. There's just only about 20%, 25% representing growth, some of that being on the real-estate and facility side, not necessarily all equipment, but -- and any of that would be largely weighted towards the LTL business kind of as you alluded to. As we talked about in our earlier comments, the focus in 2025 is largely going to be around driving volume growth, to drive efficiency and margin improvement in the LTL business. We've bitten off plenty to chew for 2025. We'll be more so opportunistic as it relates to further footprint expansion in the LTL business. So that should leave a healthier amount of free cash flow in 2025 for deleveraging because our leverage is a little higher than what we tend to carry, and beyond that, we like to remain opportunistic as it relates to buybacks as well.
Adam Miller: Okay. Well, I think that we've hit our time now. So that will conclude our call. And again, if we weren't able to get to your question, you can call 602-606-6349, and we will schedule a time to call you back. But appreciate everybody who has joined. Thank you. Thank you, Andrew.
Andrew Hess: Thank you.
Operator: This concludes the conference for today.